Operator: Thank you for standing by. This is the conference operator. Welcome to the CES Energy Solutions Corp. Third Quarter 2021 Results Conference Call and Webcast. As a reminder, all participants are in listen-only and the conference is being recorded. After the presentation, there will be an opportunity to ask question. [Operator Instructions] I would now like to turn the conference over to Tony Aulicino, Chief Financial Officer. Please go ahead.
Tony Aulicino: Thank you, operator. Good morning everyone and thank you for attending today's call. I'd like to note that in our commentary today, there will be forward-looking financial information and that our actual results may differ materially from the expected results due to various risk factors and assumptions. These risk factors and assumptions are summarized in our third quarter MD&A and press release dated November 11th, 2021 and in our annual information form dated March 11th, 2021. In addition certain financial measures that we will refer to today are not recognized under current General Accepted Accounting Policies. And for a description and definition of these, please see our third quarter MD&A. At this time, I'd like to turn the call over to Ken Zinger our President and CEO.
Ken Zinger: Thank you, Tony. On today's call, I will provide a brief summary on our financial results released yesterday followed by our divisional update for Canada and the US, along with a brief update on the international business we have entered into recently. I will then pass the call over to Tony to provide a detailed financial update and an update on capital allocation. We will take questions and answers and then we will wrap up the call. I'm going to begin this call today by highlighting the fact that our leader at CES and my business partner of 22 years, Tom Simons has decided to retire as announced last month. I want to thank Tom sincerely on behalf of our employees, our Board, our shareholders, and myself. It is with a heavy heart that I wish Tom all the best for his future. Tom and I began working together at a small private company 22 years ago. It has been a great ride with a great friend and a great man. Tom guided CES through 15 years of mostly great times, but also with a steady hand and outlook through some very challenging times. He has helped place our company in the current financially stable position we find ourselves in today. Tom leaves CES very well-positioned in perhaps the most optimistic time that the industry has seen in seven years. I will truly miss Tom in my business life but we will forever be friends. On behalf of the CES team and our shareholders, I want to once again thank Tom and wish him all the best for the future. I'm honored to have the support of the Board, the executive management team, and our employees to have the opportunity to lead our great company. I wanted to take this opportunity to clearly lay out my priorities with regard to corporate strategy. I will continue to run our decentralized business model by making major decisions with the executive management team. This is what Tom and I have always done since going public. Richard Baxter, Vernon Disney, Tony Aulicino, and I will continue to meet regularly to the -- come to consensus on major decisions before I recommend them to the Board for approval. As always our main priority will be to grow our main business lines faster than our competitors at all times and we'll keep a keen eye on margin targets. We will continue to invest in ourselves through opportunities that meet our minimum IRR and provide strategic advantage. We will continue to look for opportunities to expand internationally. We will continue to evaluate M&A opportunities as they are identified and we will continue to evaluate the potential diversification of our platform into other chemical markets. Next I will commence with the results summary by noting that for the first time in years I see optimism and excitement in the oilfield space in North America and worldwide. At CES, we share that optimism on the macro outlook for our industry and made a very constructive oil and gas supply/demand balance. Q3 2021 was a great quarter for CES. Revenue of $314 million, EBITDAC of $42 million, and EBITDAC margin of 13.4% were all at their highest level since pre-pandemic. All three of these key metrics were back in the fairway of our recent pre-pandemic levels. Since the low point of the pandemic in Q2 of 2020, we have seen a step -- been on a steady path of recovery with revenue growing each quarter sequentially. I'm extremely proud of the executive management team and of our employees for cautiously guiding the company through the uncertainty of 2020 and for positioning us for success in the much stronger market we find ourselves in now. Our outlook for the rest of 2021 and 2022 is very optimistic as we anticipate our market which will allow us to yield significant free cash flow. In order to meet demand created by this enthusiasm, we have strategically invested in inventory and commitments across our business, so we can supply our customers in a very dynamic supply chain period. Our best-in-class supply chain team, recognize the signs of upcoming issues early in Q1 of this year. Together, we developed a strategy to minimize our exposure to the risk of key raw material shortages and higher product costs. This has been a monumental challenge which we have met with a monumental effort. Security of supply for our customers on both sides of the border has been the focal point of the strategy. We continue to work with our customers to emphasize the importance of accurate forecasting in all parts of the business. Gone are the days of 7-Eleven shopping models, where you could simply call and place large orders and expect immediate delivery. Lead times and planning are critical to supply in the current environment. We moved quickly to opportunistically buy lower-priced inventory through Q2 and Q3. And in Canada, we did so aggressively to ensure we could get through the winter drilling season. I want to thank our customers and our marketing team for supporting CES by generally working with us to offset cost increases on both product and labor largely in real time. We have done this by focusing specifically on affected products and rates, not through across-the-board price increases. Although, these have been difficult conversations for all involved and not all conversations have yielded the ideal outcome, it has allowed CES to largely offset overall margin erosion, supply issues and adequately stop our business. With that said, I'll now move on to summarize Q3 performance in Canada. Canadian drilling fluids made another strong contribution for CES in Q3. Our customers in Canada are experiencing a strong market and CES has been there to support them. As always, we are doing what it takes in a demanding market in order to support our customers and contribute to their successes. In light of a tight labor market, we have managed to hire sufficient staff to support the increased activity, although this has been a significant challenge as well. Today, we have 67 jobs underway in Canada. At PureChem, our Canadian production chemical business, we had another solid quarter in Q3, both financially and operationally. Each month in the quarter was at or very near all-time record revenue levels. Similar to the drilling fluids group, margin erosion and security of supply have been the main focus area. We are working with our customers to ensure we have accurate forecast of anticipated volumes, so that we can guarantee them delivery of the products and services which are critical to their businesses. We continue to see nice contributions from our frac chemical and stimulation groups. Although, there is -- there has been significant cost escalation in both of these business lines. And now more than ever, it is critical to have inventory on the ground to support them. We view these business lines as low CapEx, low manpower and sustainable, although obviously variable depending on commodity pricing. These lines both fit nicely over our existing infrastructure and supply chain and are flexible to scale up or down as required. The other three Canadian business lines including Sialco, Clear and Equal, all continue to contribute to the financial and strategic success of the two primary business lines in Canada. Now, I'll move on to the US. AES, our US drilling fluids group, once again delivered a very strong quarter, as well as a solid market share. It has been a long road back from the depths of the April 2020 oil storage crisis. Richard Baxter, who manages our US drilling fluids group and his committed team have proven through another crisis that they have the ability to guide the business through the toughest of times. We're not chasing market share on either side of the border and continue to have a focus on working with the right customers in the right basins for the right returns. As in Canada, our customers in the US generally have worked with us to ensure we keep up with the current cost of good increases, so that we can manage margins in real time. Today, we have a market share of approximately 17.5% in the USA, with 96 jobs underway, including an industry-leading 27% market share in the Permian. Next up is Jacam Catalyst, our US production chemical business. This division also had another great quarter as it continues to profitably gain market share, despite a very competitive environment. The Permian region continues to back stop the business. However, we had additional strong contributions from the rest of Texas as well as the Rockies, which obviously includes the Bakken. Although, we have faced significant supply chain challenges in this division as well, we are proud to have the advantage of being the basic manufacturer of a lot of our products. So we were able to avoid disruptions that less capable companies could not avoid. Overall, we are very confident in our Jacam Catalyst business and look forward to more of the same consistent growth in revenue and earnings. I will finish with a quick update on our recent forays into international markets. The drilling rig in Oman has completed its first of two wells. The drill was successful and the learnings by CES were significant. Once the customer evaluates the success of the current well a further tender for more drills may be initiated. But this is a long fairway and we are in very early stages. In Nigeria, our partner company PEARL has now taken delivery of the first three containers of production chemical concentrates that we have shipped to them. As we speak, they're preparing another order for three more containers, likely to be shipped in Q1. As with the Oman business, this is a growth opportunity in the very early stages of a long runway to making a meaningful contribution. In conclusion, I want to personally thank each and every one of our 1,700 employees for their commitment to the business, culture and success of CES. As well, I want to, of course, thank all of our customers for their commitment to CES in good times and bad. With that, I will turn the call over to Tony for the financial update.
Tony Aulicino: Thanks, Ken. CES' third quarter demonstrated a continuation of strong financial momentum through 2021 and reaching distance of pre-COVID levels. Key financial metrics improved across divisions, including revenues, margins and surplus free cash flow generation, underpinned by a focus on strategic investments in working capital and preservation of strong balance sheet and liquidity metrics. CES realized improvements throughout its business lines, amid strengthening industry conditions, as it was able to leverage its established infrastructure, strong industry positioning, committed employees and strategic investments in key raw materials. The continued positive momentum demonstrated in the quarter has been supported by improvements in rig activity, higher production volumes, pricing increases and strategic procurement initiatives that are expected to continue through the balance of the year and into 2022. As industry activity levels continue to improve, CES remain disciplined on capital expenditures during the quarter, retaining substantial liquidity while also making strategic use of its balance sheet to finance key surplus raw material purchases in order to meet the increasing needs of existing and new customers, manage product cost inflation and mitigate the effects of global supply chain constraints. We exited the quarter with a net draw of a senior facility of $51 million versus a net cash position of $12 million on June 30. The increase was primarily driven by a working capital build associated with strong increase in sequential quarterly revenue, combined with strategic surplus raw material purchases, driven by unique global supply chain environment. In addition, CES repurchased approximately 863,000 common shares for $1.4 million or $1.66 per share under our NCIB program. CES has continued to realize strong demand and also invest in our surplus inventory since the end of the quarter and our current net draw on our senior facility is approximately $81 million. CES' Q3 revenue of $314 million represents an increase of 89% from Q3 2020 and a sequential increase of 24% from Q2. Revenue generated in the U.S. was $197 million or 63% of total revenue for the company. I would note that AES continues to effectively operate on the right jobs and with the right customers, as we continue to approach pre-COVID levels and continue to realize operational and financial torque in that business. Similarly, Jacam Catalyst, our U.S. production chemicals business, which helped carry the business through the lows of 2020, has continued its trajectory and is getting very close to pre-pandemic levels through increased volumes, market share and improved pricing. Revenue generated in Canada was $117 million in the quarter versus $52 million a year ago and $78 million in Q2. Thanks in part to the seasonal increase in activity in the Canadian drilling fluids business. Canadian revenues benefited from increased drilling and completions activity, coupled with higher production volumes and frac-related chemical sales, as revenue levels in production chemicals surpassed pre-COVID levels and drilling fluids continued its steady march upward. CES achieved adjusted EBITDAC of $42 million in Q3, which is more than double the $18 million generated in Q3, 2020, and represents a substantial sequential increase of $10 million or 31% from the $32 million generated in Q2. Adjusted EBITDAC margin in the quarter was 13.4% representing a significant improvement from the 11% recorded a year ago and a sequential improvement from 12.6% in Q2, as the company benefited from stronger competitive positioning pricing increases and increased drilling and production levels. I would also note that, we are closely watching product costs and their potential impacts on gross margins. Our procurement team has been industry-leading in terms of strategic inventory purchases during the last year, and our sales and marketing teams have been working very closely in respectfully as Ken mentioned, with customers on pricing increases; however, we do anticipate a potential lag period as pricing catches up to increased product costs. At CES, our main financial priority continues to be surplus free cash flow generation. I am very proud to report that during Q3 our funds from operations was $35 million representing a substantial increase over $23 million in Q2 and actually above the $32 million generated in Q1 of 2020, which was prior to the COVID-related downturn. CES has continued to maintain a prudent approach to capital spending through the quarter. Net CapEx spend for the quarter was $9.8 million representing approximately 3% of revenue. We will continue to adjust plans as required to support existing business and growth throughout our divisions. For 2021, we expect cash CapEx to be approximately $30 million of which $20 million is estimated as maintenance and $10 million as growth. Our balance sheet continues to benefit from the attractive structuring and maturity schedules of our credit facility and senior notes. We ended Q3 with $372 million in total debt net of cash comprised primarily of $288 million in senior notes, which mature in October of 2024 and a net draw of $51 million on our senior facility. During the quarter we successfully completed an amendment and a two-year extension of the senior facility, which addressed the needs of the company's expanding US business by shifting US$20 million of availability to the US, while preserving total facility size at a Canadian dollar equivalent of $235 million providing ample liquidity versus current draw levels. As Ken mentioned, we are increasingly optimistic about the industry outlook and CES' ability to continue its strong financial performance. This combination is key to informing our capital allocation decisions, which we revisit as a team on a quarterly basis. In terms of capital allocation considerations, we continue to prioritize capital allocation towards supporting existing and new business, through investments in working capital and modest CapEx projects that deliver IRRs above our internal hurdle rates. We remain very comfortable with our current dividend, which represents a yield of approximately 3% at our current share price and is supported by a very prudent payout ratio in the mid-teens. We will continue to buy back at least enough shares to offset equity compensation-related dilution. Year-to-date we have repurchased 7.7 million shares representing 3% of outstanding shares, which is approximately double our stock-based compensation-related dilution for the year. As we are becoming more optimistic and comfortable with our outlook and free cash flow generation, we will revisit becoming more active in our NCIB program especially at current valuation levels implied by our stock price. We will also continue to use remaining surplus free cash flow, to reduce leverage to further strengthen our balance sheet, opportunistically purchase our bonds, and prepare to refinance our 2024 bond at an appropriate size over the next couple of years. Throughout the 2020 downturn and into the recovery period over the last several quarters, CES has consistently demonstrated its CapEx light, an asset-light decentralized business model enabling generation of significant surplus free cash flow. As our customers increasingly regulate their business models to maintain spending within cash flows, we believe that CES will be able to leverage its established infrastructure business model and nimble customer-oriented culture to continue its track record of strong financial performance. At this time, I'd like to turn the call back to Ken for comments on our outlook.
Ken Zinger: Thank you, Tony. Our outlook for the remainder of 2021 and into 2022 remains optimistic as Tony pointed out. An economic -- as economic activity has resumed from the lows of the pandemic, we are benefiting from a strong and significant increase in activity by our customers throughout North America amid a constructive supply/demand balance. Our customers are back to pre-COVID production levels in some of our most attractive basins and rig activity continues to trend upward. The market remains competitive, but our business and employees remain, hard-working, nimble and well positioned in the market. We are very bullish on forecasted activity in our industry for the midterm and I love our chances to grow revenues cash flow earnings within each of the divisions. The future at CES is bright and I'm humbled to have this opportunity to lead our great team for many years to come. Thank you for your time. I will now pass the call over to the operator for questions.
Operator: [Operator Instructions] The first question comes from Aaron MacNeil with TD Securities. Please go ahead.
Aaron MacNeil: Thanks for taking my questions. I'm hoping you can give us a bit more of a detailed look at the US production chemicals business. I know you're not going to get into specifics on revenues and stuff, but you mentioned the vertical integration or as you said being a basic manufacturer, at least relative to my numbers it seems like that's where some of the revenue strength occurred this quarter. So, I guess I'm just wondering has there been market share gains in the segment. Are you seeing other positive tailwinds that you could maybe address a bit more specifically?
Tony Aulicino: Yes. Yes fair question Aaron. As you saw we did demonstrate solid growth in the US. And when you look at the available metrics rig counts have been improving. But we're still marching up to -- towards pre-COVID levels. So we did see significant strength in US production chemicals. As Ken mentioned, we were able to under Vernon Disney's leadership gained market share in production chemicals in the US. And as Ken also mentioned, when you look at production levels versus pre-COVID although US production in general is down from the 12.7% or so pre-COVID to about 11.5% currently. If you look at our most important market our most significant market in the US, the Permian volumes -- production volumes are actually back to pre-COVID levels. So that gives you an indicator of increase in activity. And on top of that, Vernon and his team have been able to source the required chemistry that our customers were looking for. And we're also able to pass along pricing increases and you'll also see -- and some people mention it over the last while in our disclosure, we talked about some bulk chemical sales that business unit was able to put on at very -- at reasonable margins as well. So, it's really a confluence of the industry coming back in some of the most important basins that we operate in and the team being able to outperform its competitors to win and gain market share and pass on pricing and they're still in the process of that.
Aaron MacNeil: Understood. Maybe Tony a quick one for you on the balance sheet. Obviously, the working capital grew quite a bit this quarter. Do you expect CES to sort of grow into the current working capital? Or do you actually see like maybe an unwind of the inventory over the next couple of quarters as the supply chain challenges ease?
Tony Aulicino: Yes. Look everybody has been able to observe our business model what happens when revenue goes down as we harvest. As Ken mentioned, we're carrying surplus inventory especially in the Canadian drilling fluids business. So, to answer specifically, we expect to grow into that working capital. And given the expectations that you heard in the outlook summary; we expect revenue to grow next year. And as we do that, we expect to grow into that working capital level that's elevated at this point. And as that happens, you'll see very significant free cash flow generation.
Aaron MacNeil: Understood. And Ken maybe one for you. You're new to us, but not all that new to the company or the industry. So I guess aside from the obvious stuff around E&P capital discipline, can you maybe just give us your sense or perspective on what you're seeing in terms of the outlook? How this cycle is shaping up from prior cycles? And I mean you sort of addressed it in your prepared remarks, but if we can expect anything different from you versus your predecessor as you kind of take the helm of the company.
Ken Zinger: Yes. Aaron, it's setting up to be an aggressive build and the biggest challenges we keep hammering on and I think everybody is hammering on is supply chain. So we've had to get really aggressive with putting inventory on the ground more so than we have in the past. And that's led to the balance sheet taking some flack and picking up some dollars, but we do see it balancing. And the main reason for it was Q1 in Canada really, I mean, we can't cannibalize about half our inventory from China and India. India is basically shut down shipping from China has been massively affected. Industries being regulated there to only work a few days a week. The Beijing Olympics are coming. So they're trying to control air quality or Chinese New Year just coming. So, there's just been a lot of headwinds out way combined with manpower in Canada and the US, but I would say more so in Canada we've really struggled to find people. We're competing with not only our competitors, but even the rig companies and it's made things tough people who left the industry, and it's hard to get them to commit to coming back. Having said that, we're in pretty good shape and we're excited about what's in front of us. I think it's going to be busy first half of the year for sure and probably a busy couple of years.
Aaron MacNeil: And then just anything you bring to the table that's different from your predecessor? I know you talked about the business units running independently, but anything you want to highlight there?
Ken Zinger: Well, I mean, Tom and I worked together for about 25 years all in I believe. So we see the world largely the same. And to be totally honest, when we were -- over the last bunch of years, as we've been working together, we visited all the time and came to a lot of the same decisions at the same time. So I'm not sure that there will be any massive changes. My hope is to emulate him on the leadership side and maybe be a little more open to looking at M&A if something good comes along, but that's really it. Other than that I think steady is the course for now and we'll see how that evolves over the next six months.
Aaron MacNeil: Understood. Thanks for your time. I’ll turn it over.
Ken Zinger: Thanks, Aaron.
Operator: The next question comes from Tim Monachello with ATB Capital Markets. Please go ahead.
Tim Monachello: Hey, good morning guys and welcome Ken. Congrats on getting that first prepared remarks section out of the way.
Ken Zinger: Thank you,
Tim Monachello: I just wanted to talk a little bit about what you're seeing on the supply chain front like? I don't know if you can get into specifics, but are there specific or certain regions or business lines that are most impacted? It sounds like the Canadian drilling fluid space perhaps is the most. Do you think you're ahead of that? And are you seeing anything change on the margin or supply chain getting tighter or looser?
Ken Zinger: I mean, I think, it's -- on the Canadian side, it's definitely the drilling fluid space that we've had to be -- because it's more seasonal. We have this big ramp-up into Q1 every year. Usually we can buy going into it. This year we had to preplan for it, because we're so concerned about not being able to get stuff in the coming months. As far as pricing goes, I mean, we're working on that all the time. I'm visiting with the customers I have. Our salespeople are visiting with their customers. We're advertising on LinkedIn about supply chain crisis. We're doing everything we can. I mean, we don't really have to blast it from the rooftops, because I mean everybody in their everyday life is dealing with the same problem. The inflation is through the roof and selection is way down, because it's hard to get stuff. So it's a unique year in that regard. I don't remember ever going through anything like this in the last whatever it's been 35 years in this industry. And we're trying to make that case. And I'd say by and large we're getting buy-in from more customers than we're not but definitely not getting buy-in from everybody. And it's a challenge and it's kind of the business I've been living and breathing for the last 35 years. It's -- every day it's a new fight and a new opportunity to work with clients to come to something that works for both of us. So I guess to summarize, we're working on it every day and we're trying to get margins up as much as we can in line with what we're paying or what we're seeing in increased costs.
Tim Monachello: Okay. As you go into a sort of tightening market I guess, especially in Canada and you've got this sort of egg of inventory, where perhaps some of your competitors don't, are you being able to translate that into better market share or new customer relationships?
Ken Zinger: Well, it's definitely a topic of conversation every time we go into a customer's office. I mean supply chain -- we're doing 100% of the work for them. We're not pitching this, but if it's a company we're not working with that we're doing a small percentage for supply chain diversification is probably key for everybody through this. And on our side, we're hoping that yes, in Q1, this is going to be a big advantage. We see shortages. I'm not going to telegraph where we see them but we believe there's going to be shortages of key products through Q1 in Canada. And we believe we positioned ourselves to not experience that.
Tim Monachello: As you go forward and I know it's a very dynamic situation but can you provide some insight into how the company is I guess monitoring the supply chain issues? And as things perhaps loosen through 2022, how do you make sure that you're not long higher cost inventory?
Ken Zinger: We're doing that just by working with customers and getting accurate forecasts with them. We subscribed this on publications on supply chain and then we have a supply chain that's living it and breathing it in real time. I'm constantly getting forwarded e-mails of communications between our supply chain team and our suppliers, where the suppliers are giving us intel on what's happening in the space and what our competitors are doing. So I think we're pretty in tune with it. We don't foresee a massive shifts in any direction until mid-2022 at the earliest and we'll be prepared for that. Right now we're just trying to buy about six months out and stay on that. And if in Q1, as we get into a seasonally softer season, we'll have inventory levels coming down anyways and we'll make decisions at that time about what to do with the second half of 2022.
Tim Monachello: Okay. And then last one for me. Ken, you've done a good job of receiving credits for a lot of the good work that's been done in Canada and turning around the margin profile, especially in the PureChem business. Overseeing the whole company, is there any lessons there that you learned that you think could be applied elsewhere in the business? And if so how do you see that progressing?
Ken Zinger: Well I think we're doing -- I mean we're -- honestly, we're very satisfied with the margins that we're getting in the US. I think they're fair to the operator and fair to the -- to us as a service company. So -- and once again to be honest and to share credit, some of the things I learned in working with the Canadian divisions I picked up from the US division. So I'm not sure there's a lot of work to do there. As the market gets strong, if there's shortages in people or if our customer base gets super busy and we can drive more efficiency, then we'll start to see some margin improvement there. But we're already heading in the right direction and I think everybody is doing a great job in the business now.
Tim Monachello: Okay. Great. See you next time, Ken, I’ll turn it back.
Ken Zinger: Thank you.
Operator: The next question comes from Keith MacKey with RBC. Please go ahead.
Keith MacKey: Hi, good morning and thanks for taking my questions. Just maybe to start out on the international initiatives. You mentioned that things have progressed well there. Do you foresee the current projects you're working on being the beginning of a snowball in the international based on how they've gone and the results and lessons that you've learned? Or is this still an entry point that will take additional time to really flesh out?
Ken Zinger: I think it's the second part with the mix of the first part. This is going to take time to play out but we do have a lot of optimism around our chances for success in that market and growth into that market. I've personally been spending quite a bit of time on this over the past three, four years. We've looked at a bunch of stuff including the QMax breakup, when they were trying to sell off their Kuwait business. I mean we've been quietly monitoring that market for the last, call it, five years. And so, it will be something that I will put emphasis on going forward and trying to grow it. But it is contingent on, first of all, how this project goes that we're on now. And second of all what we can directly pick up off that project, because we have to get not only a foothold in the Middle East, but also kind of a reputation there so that other companies will trust us. And we are working on some other stuff in real time right now that could turn into something but just nothing to announce at this time.
Keith MacKey: Got it. Thanks very much. And maybe just as a follow on then, you mentioned you might be a little bit more open to M&A than in the past. Are there any obvious gaps that you think the business has, whether it’d be more of the international type stuff or anything within North America to really drive the next leg of the business?
Ken Zinger: No. I think we have no holes at all. I'm just talking in an opportunistic sort of way. I mean we did something a year or year and half years ago once again during that QMax breakup, where we were able to buy some -- not some business off them, but just some product line off them, because we took the time and through kind of a stint bid at it in one. I would say that, if there's opportunities that look so good, we couldn't pass up on them. We'll take a look at them. But as of today, no, there's absolutely nothing on the table.
Keith MacKey: Got it. Thanks very much. That’s it for me.
Operator: The next question comes from Andrew Bradford with Raymond James. Please go ahead.
Andrew Bradford: Good morning, guys, and welcome, Ken.
Ken Zinger: Thank you, Andrew.
Andrew Bradford: In your comments you mentioned, you talked about some market share gain. I'm speaking about US production can sales. And I'm just curious so is this -- would you characterize this gain as sort of being through your involvement on newly constructed wells that are coming on first production? Or is this -- I think you're grabbing share or previously shut in legacy producing wells?
Tony Aulicino: I think it's a combination with a big emphasis on the former -- on the first category. As we've said over the calls, over the past few years, the volumes of production chemicals sold during that initial production phase is obviously high. But really it's been the Jacam Catalyst team, doing more with existing customers and winning some new customers and gaining market share that way. And if you look at the trends, as I mentioned earlier, with high production volumes, getting back to pre-COVID levels, especially in the Permian where Jacam and Catalyst, which we acquired back in 2016, had a very strong presence in. That business has continued to invest added a new lab last year, because we were committed to it, has added some more real estate to support new business and it's paying dividends by winning more work from existing customers and winning new customers on the new types of productions, not the smaller lower volume producing wells that you're referring to.
Andrew Bradford: Great. Thank you for that. And well, when it comes to the drilling fluids, the US drilling fluids business as well. And as we think about market share outlook here, I appreciate you really focused on customers that work maybe more of a partnership with you. But do you expect the sort of formula that you format with these customers? Do you expect this formula could facilitate market share gains in the near term? Or do you think if you were sitting on our side here that we should just look at 17.5% is sort of your baseline for the next few quarters?
Ken Zinger: Well, I think the model we have doesn't eliminate the opportunity for market share gains, although generally speaking, half of the rigs that are working in the US are working in the Permian Basin. We've got a strong market share there. And then, the other half are working everywhere else, where we don't have that great of a market share. So every time you pick up rigs and they're spread evenly through those two regions call them, it dilutes our market share even though we're still doing equally strong in the Permian where we want to be in. And when I talk about where we want to be it's because it's more technical work and it's because we have infrastructure there we've made an investment in that space, and it's put us right in the middle of the play with the best equipment and the best people, which gives us a big advantage not only to our good customers but also to pick up other customers. The problem is to invest that kind of CapEx into a play there has to be returns there. So there has to be significant activity. There has to be technical enough work that we can make a difference and beat out our competitors. And so far there's a few places where we're doing that in the US, the Northeast being another one where we have it and the Eagle Ford. But as far as places like the Bakken, the wells are pretty simple. The margins have been beat down there. We've tried to play in that space before. We don't currently have the infrastructure there. So when we go in there we're working out of a third-party warehouse and we're not competitive on price. So I guess the answer is that as long as this market share growth continues in the Permian, we'll continue to capture around one-third of that -- one-fourth to one-third call it. But when rigs get picked up in some other places like what happens in Canada, it may dilute the market share. We'll just have to see how it comes back.
Andrew Bradford: No that's a great and complete answer. Thank you very much. My next two are fairly disjointed here and fairly quick. So labor constraints you described this as well, and it usually works pretty well for oilfield services companies when it comes to pricing at least in other areas of the oil pad. You're more of a product oriented combined with the service provider. So it's not clear to me how that works. Do you think labor constraints can work? They're certainly hard to deal with, but do you think they could ultimately work in your favor margin-wise?
Ken Zinger: Yes. I mean, yes, for sure we'll see how Q1 goes. I think the problem with the labor constraints isn't just directly as it affects us. It's with how it affects all the other services like the major ones, the drilling rigs. We've had rigs shut down for weeks at a time even when they were staffed because of COVID outbreaks. So between the COVID risk on labor and just a lack of being able to find people it's -- that causes us a bigger problem than anything, because I think there's demand -- listening to my friends on the drilling side, there's demand probably to run 250 rigs this year, but I don't think they're going to be able to find the people for it in Q1. So down the road once everything gets adequately staffed and we can get enough rigs going that there is -- it starts to affect service company ability to get hands then maybe we have room to move on margin. But the problem with the personnel piece is we charge the man out on a day rate basis combined with the chemical. So it's easily comparable. So as long as our competitors are willing to not move that number, it's a flat easy number that companies like the spreadsheet. It's really hard to move that number up until everyone does.
Andrew Bradford: Okay. That's great. Thank you. And the second question was there's just a small item here of growth capital in the quarter. It's a small number, but it still is larger than any of the numbers we've seen for a while $5 million. So I think this was for a site just outside of Edmonton, but I wonder if you could just throw out some color on that.
Tony Aulicino: Yes, for sure. So it's something that we discussed midway through the year and it was spearheaded by the Canadian group. We made a decision to spend during this year, it will be somewhere between $3 million and $4 million and a little bit more in the New Year to expand our facility in Nisku and that gives us increased capabilities from logistics, storage, and manufacturing perspective to supply some of the very specific key raw materials and -- sorry, chemistry that is in high demand. So it's -- it was a very targeted investment. The IRR has presented and discussed as well well-above our 15% to 20% internal hurdle rate and that's what it was for Andrew.
Ken Zinger: What we hope to gain with that Andrew to put a little bit more color on it even is days of safety stock. Our throughput as productions come back on in Canada has gone up significantly and our days of safety stock had dropped significantly. So it's to expand the amount of days that we have on the ground ready to go.
Andrew Bradford: That’s great guys. Thank you very much for taking my questions.
Ken Zinger: Thanks, Andrew.
Operator: The next question comes from Cole Pereira with Stifel. Please go ahead.
Cole Pereira: Hey, good morning, guys and congrats for the quarter. So obviously the business continues to improve, but there's some cost pressures. Can you just add some additional colors on how we should be thinking about gross margins on a percentage basis over the next couple of quarters? I mean, it sounds like they might compress near term. But I mean obviously there should be an inflection point as well.
Tony Aulicino: Yes, I'll start with that Cole. Fair question. So really -- obviously, we're not going to provide specific numbers. But I would say directionally, we're talking the same trends as some of our competitors specifically in the US have talked about. We are -- we have been seeing significant increases in the cost of our inputs. We've been very smart and aggressive by trying to get in front of as much of that as possible. But we are getting into the times now where -- the COGS costs that we're realizing when we generate that revenue are creeping up versus a quarter or two ago. However, we are increasing pricing as well. And as I mentioned, there's a lag period. So directionally, I think we're not getting back to the higher levels that you saw the last couple of quarters. I think what you're seeing right now is indicative, similar to what our peers are saying for at least the next couple of quarters. And I'd like to be pleasantly surprised, but that's what we're preparing for.
Ken Zinger: Having said that, that's -- our objective is to make Tony very surprised.
Cole Pereira: Okay. Perfect. Yes. That’s very helpful. Just wanted to come back to your comments Tony on the US production chemicals market share gains. I mean, it sounds like you're getting some new customers and winning some more work with existing ones. I mean what are really the -- what's really the drivers of that? Is it really come down to performance? Or can you just be a bit more agile than some of your larger peers?
Tony Aulicino: It's both that business. That business versus Jacam and then with Catalyst was -- it was the catalyst no pun intended to the vertical diversification that we did not have before Tom and Ken and the team made the expansion into the US by acquiring Jacam. And then when we acquired Catalyst and Vern and the team came on board and Vern took on leadership of that overall business, they continued to do what they did which is beat out some of the bigger competitors with customers that may be at first were a little bit smaller but grew. They were results oriented. They were looking for the products, chemistry, vertical integration that Jacam Catalyst could deliver. And then our teams just continue to service the heck out of those customers better than our competitors. And we have the infrastructure. We've made the investments. We continue to support that business with capital for CapEx like the lab, like some of the additional real estate as well as working capital requirements. So we talked a lot about procurement. But just step back and appreciate the fact that we have this North American footprint allowing the US and Canada to help each other out with new supply chain sources and to be able to manufacture molecules from the rock chemistry level. So it's really all of those things and a continuation of focus on the customer supported by the infrastructure that we have.
Cole Pereira: Okay. Great. That's helpful. Thanks. And maybe coming back to supply chains quickly. So I mean, obviously this remains an evolving issue. But fair to say based on your comments that you're fairly comfortable that in Canada in Q1, you don't think there'll really be any business interruptions as a result of supply change. Can you clarify as well? Is this both business segments?
Ken Zinger: Yes, it's both business segments, and that's correct. We have enough inventory on the ground now to get us through Q1. And what we don't have on the ground, we have take-or-pay deals on so, we have guaranteed supply as we need it, because some of the stuff is just too cumbersome to the store. But having said that, you never know what's coming next, but right now unless, I don't know if some other catastrophe hits us, I think we're in good shape on both sides of the business. I mean, we're a little closer to the sun on the production chemical side on one particular product line like everybody in the industry is right now, but we have not dropped the ball yet. And we I think are one of the only ones who have not and we think we're going to get through that one as well.
Cole Pereira: Okay. Great. That's all for me. Thanks. I’ll turn it back.
Operator: The next question comes from Josef Schachter with Schachter Energy Research. Please go ahead.
Josef Schachter: Thank you very much. Good morning. Ken congratulations on becoming CEO and your first analyst and institutional conference call. Please wish Tom much success on his retirement and it was a pleasure working with him in the past and looking forward to working with you and Anthony in the future. I have three areas that I'd like to cover. One of them would be the supply chain issues. You mentioned earlier about procurement initials for key raw materials. You also mentioned India and China, because of the smog and things slowing down there, are there any specific areas where you have like rare and other things which you need to maybe have longer lead times than six months of inventory? Or do you see when China gets back after the Olympics that that process of getting the materials you may need or India are not going to be impacted? And how do you discuss all of the time line issues related to items you're bringing in from Asia?
Ken Zinger: Great question. We don't have any rare mineral type stuff that is hard -- that hard to get a hold of. We do believe that as China unclogs and gets going and US ports unclog and get going we'll be able to get product. I also want to clarify that we've been buying a lot of product from China, because the quality has been excellent and the shipping times have been consistent and the pricing has been better than what we could do in the US in some cases. In some cases we can only get it there, but in a lot of cases, it's strictly a decision to buy from there, because we can get things cheaper. So as this has unwound, this put us in a situation of having to work with our US counterparts and delve into their supply chain from Canada, because Canada was buying more internationally and try and get local supply. The problem is we had to move really quickly and start sending some order to those guys, because as it got busier nobody was taking on new clients. So we think we've done a good enough job with that. We've reverted to on the barite front in Canada, we would mine that of India for the last bunch of years. We're no longer doing that. We've switched to mine in Canada and we're getting some from our own superior weighting down in Texas in Corpus Christi, because those two options used to be uneconomic. But currently with the supply and demand metrics in place combined with the difficulty in getting shipping on time, they are now our best choices.
Josef Schachter: Okay. Great. Thank you on that. Second one, we saw from PSAC that the rig count they're looking for next year 5,400 up from 4,650, a 16% increase. Do you see those kinds from the numbers being logical given your customer conversations about how much increased activity they see and how much more business that it's going to generate for you?
Ken Zinger: Yes. I think in Canada over the last, I don't know 10 years, 15 years we've had a pretty consistent market share. So if the rig days goes up we'll participate that -- in that to the same level we always participate. As far as whether it's possible or not, I mean, I think where you can get the win on the contractor and operator side will be in Q2 and that's -- that will be the decider. I mean, there's been times when we run -- back in the good old days, we run 100 rigs through Q2 well and that's CES not the industry. But the last bunch of years here it's pretty slow in Q2 not because it has to be just because it's a little bit more expensive to drill during that time. But if operators real decide, they want to get busy, I think they can average 220 rigs probably through Q1, and they can probably average at least half of that through Q2, if they want to, which is not what I think what most analysts are predicting right now.
Josef Schachter: Yes. And as your business the pickup happening more on the private companies, which don't really have the market pressures for shareholder returns and are you seeing more of a pickup on the private company activity in both sides of the border versus the public companies?
Ken Zinger: On the Canadian side, I think it's the bigger companies. I think just with capital, where it is and WTI where it is, 65% or 75% of free cash flow for these big oil companies is growing. It's becoming a bigger number. So we're seeing the growth. In Canada, I would say, it's more on the public company bigger guys and in the US, it's probably more on the independents and the little guys. But it's happening in both on both sides of the border.
Josef Schachter: And then last one for me on treatment points. You show, the US down 7%, Canada up 16%. Were you giving away low-margin business in the states, where you didn't see the sufficient margins and weren't willing to go down to levels that were unprofitable? And do you see those treatment points going up as activity picks up?
Tony Aulicino: Yes, I'll start with that one Josef. As we mentioned in the narrative before those graphs, treatment points used to be a higher -- used to provide a higher correlation to actual revenues generated by those production chemicals businesses, in both countries Canada and the US. What's happened that's actually benefited us from a profitability perspective is as we've evolved to treating higher volume producing wells, and delivering chemistry to more and more multi-well pads, number one, the economics are better. But number two, especially, if we have continuous treatment, the actual volume that we're providing for every touch point or treatment point is higher. So that graph, unfortunately, masks the true volume trends that we're realizing and that has to be the case, because we've seen increased volumes and frankly revenue. That said, so that's the biggest part, and we're thinking about other information that's publicly available to provide, more better picture of the driving factors of the production chemistry business. And the other thing, as we mentioned, I think in both the press release and the MD&A, we did benefit from some significant bulk chemical sales, especially in the US. And unlike previous cycles that -- obviously that margin is a little bit lower maybe at the gross margin level. But the team has been very smart about that business, because it doesn't require significant increases in SG&A, or more importantly CapEx. So that's why you continue to see strong EBITDA margins, and strong free cash flow generation regardless. So a long-winded way of saying, the treatment point metric isn't perfect. It's the best we have right now. But over the last couple of years, we have seen a bit of a bifurcation between the true drivers and that metric.
Josef Schachter: Super. Thanks very much for taking my questions. And Ken, welcome to board and look forward to the next question. Congratulations on a great quarter.
Ken Zinger: Thank you, Josef.
Operator: [Operator Instructions] The next question comes from Michael Robertson with National Bank Financial. Please go ahead.
Michael Robertson: Hey, good morning, Ken and Tony. Congrats on the quarter. And thanks for taking my questions. Just a couple quick follow-ups here, maybe start with one for Tony. I believe you mentioned that, the draw on the credit facility is currently around $80 million. You touched on this a bit earlier, but based on your current inventory levels and expectations to move product and convert that to cash flow, how do you see that trending into 2022 while also anticipating incremental improvements in activity levels? Maybe asking another way where would you expect the sort of peaks and valleys to sort of shake out?
Tony Aulicino: Yes. So number one, we're very comfortable with at or around this level. Again, our available line is $235 million Canadian equivalent so tons of room. As I said earlier, I do expect that to go up through the quarter, as we catch up on collections for the increased revenue that we've seen sequentially. And we're going to continue to see that in Q4 and Q1, especially in the Canadian business that's a bit more seasonal. And then, if it is true that we are getting comfortable with our inventory levels in particular and we grow into that working capital. You'll see that starting to come down next year probably not significantly at the beginning of the year, but mid probably and towards second third quarter for sure, you'll see a deleveraging. And again, it's a good problem to have because it does afford us options that we're taking very seriously, in terms of capital allocation as I mentioned.
Michael Robertson: Got it. That's really helpful color, Tony. I appreciate that. And then, just a quick one related to the international, from what you're seeing does it look like the shipping issues have it all eased in terms of getting sea cans, from Houston to Nigeria? I was just wondering, how much of that was hurricane-related versus, how congested the supply chain is in general right now?
Ken Zinger: Well I think that we've only done one shipment of three containers to Nigeria, and it went pretty quickly, I mean, hauling away from the U.S. it's better than hauling to the U.S. As far as international shipping the stuff coming out of China, the prices are starting to come off a little bit on getting containers, but getting containers on to ships is still a huge problem you're competing to get on. So the prices coming down a bit but even when you agree on ridiculous price, it doesn't necessarily mean you're getting on a boat anytime soon.
Michael Robertson: Got it, got it. Okay. It's helpful. I appreciate for taking my questions. Congrats on a quarter and turn it back.
Ken Zinger: Thanks, Michael.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Ken Zinger, for any closing remarks.
Ken Zinger: Thank you. With that, I'm going to wrap-up the call by saying thank you to our customers and our employees for helping us produce another great quarter. We're pleased to be in a strong financial position and returning cash to shareholders coming out of COVID. We look forward to speaking with you during our Q4 and year-end update in March. Thank you everybody.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.